Operator: Good morning, ladies and gentlemen. Welcome to the second quarter 2024 Matador Resources Company earnings conference call. My name is Marvin Rivas, and I'll be serving as the operator for today. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes, and the replay will be available on the company's website for one year as discussed in the company's earnings press release issued yesterday. I'll now turn the call over to Mr. Mac Schmitz, Senior Vice President, Investor Relations for Matador. Mr. Schmitz, you may proceed.
Mac Schmitz: Thank you, Marvin. Good morning, everyone, and thank you for joining us for Matador's second-quarter 2024 earnings conference call. Some of the presenters today will reference certain non-GAAP financial measures regularly used by Matador Resources in measuring the company's financial performance. Reconciliations of such non-GAAP financial measures with the comparable financial measures calculated in accordance with GAAP are contained at the end of the company's earnings press release. As a reminder, certain statements included in this morning's presentation may be forward-looking and reflect the company's current expectations or forecasts of future events based on the information that is now available. Actual results and future events could differ materially from those anticipated in such statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company's earnings release and its most recent annual report on Form 10-K and any subsequent quarterly reports on Form 10-Q. In addition to our earnings press release, I would like to remind everyone that you can find a slide presentation in connection with the second-quarter 2024 earnings release under the Investor Relations tab on our corporate website. And with that, I would now like to turn the call over to Mr. Joe Foran, our Chairman, Founder, and CEO. Joe?
Joseph Foran: Thank you, Mac. Welcome to the call. We appreciate you taking the time to tune in. We are excited about this quarter. We're even more excited about the quarters to come in the year ahead. The teams have really worked hard, and I'd like to emphasize the amount of teamwork that's behind these numbers, that everybody has done their part. And I want to invite all of you to come see us sometime to see the teamwork, have lunch with them or breakfast. And you can hear how they really do come together and work as a team, which I think has produced these good results. In particular, I would just like -- I have some slides that are on our website and that connect to the press release itself and really encourage you to take a look at those. I think they help fill out the story. In particular, when we went public in 2012, we were making about 3,300 barrels a day. And today, we're over 95,000. So it's been consistent growth across that time and a lot of teamwork and a lot of extra effort by a lot of people. And I want to thank them, and particularly our guys in the field who, in July this past quarter and very hot weather, have kept everything going. And in the cold weather, they're still out there getting it done. So without that help carrying through, it'd be difficult to sustain this. The net result is that we're reporting that we now have proved reserves of over -- or right about $500 million of Matador only. And then Ameredev, if that closes with the customary contingencies and government approvals, we will be boosted to over $600 million. So things are on the right track. We anticipate these next two quarters, there's a lot of work to be done. But if the teams keep working as they have been, I'm confident I'll be here in 90 days telling you again what a good quarter we had. If you like this last one, this next one should be better. And with that, let me open the phone to questions and try to help. But again, I want to -- want you all to know that you all are welcome to come visit and meet with us. And of course, I think that for all the capital and all the technology this business requires, I still think it comes down to people and meeting us in person to get a feel for the way we do things and the caliber of people. I think it's important, but I don't want to try to tell you how to do your job. I just want you to know you're welcome.
Mac Schmitz: Marvin, we're ready for Q&A. Thanks.
Operator: [Operator Instructions]. Our first question comes from the line of Gabe Daoud of TD Cowen.
Gabe Daoud: Thank. Hey. Morning, everyone. Thanks for taking my questions. I was hoping we can maybe, Joe and team, just start with trajectory from here. Maybe for Matador, stand-alone, it looks like 50% or so of the activity is done in the first half; and the other 50%, more or less, in the second half. So just curious, what's maybe driving the big step-up in expectations on 4Q volumes? Is it well outperformance or maybe better base declines? Just kind of curious what's maybe behind the big step-up in 4Q.
Brian Willey: Hey, Gabe. We really appreciate that question. This is Brian Willey, Executive Vice President and Chief Financial Officer. And I think you hit it on. I mean, it's really the work of the team. Joe started and talked about that from the beginning. And so it's the great teamwork and how the schedule works out. Tom does a really great job with doing the drill schedule and constantly trying to make it better and optimize that schedule. So we had a really great second quarter. And as we look forward into the future, third quarter and fourth quarter, you're exactly right. We increased in the third quarter, as Joe said earlier, and then we expect it to continue to increase and have that step up in the fourth quarter. And that's even before Ameredev. I think Joe mentioned Ameredev, which we're extremely excited about that closing and having the opportunity to do that, of course, subject to regulatory approvals and other customary closing conditions. But excited to integrate those assets. I think one of the great stories of this quarter and the second quarter is the Dagger Lake South well, which I'll pass it off to Chris to talk about in a minute, but doing those on efficiently and doing a very good job and bringing on a little bit sooner than we even expected. And it's really integrating those advanced assets. I think it shows how consistent we are in integrating the assets and being able to do that over time. And we expect the same thing with the Ameredev, that we'll be able to integrate those assets and be consistent and integrate those into our program and looking forward to that. So I'll pass it over to Chris. He can talk a little bit about the Dagger Lake South well and some of the efficiencies we have with those.
Christopher Calvert: Yeah. Hi, Gabe. This is Chris Calvert, Executive Vice President and Chief Operating Officer. Brian highlighted the teamwork. And I think we can discuss on this call reduced D&C cost per foot. I'm sure people might ask about OFS pricing. But I think while those are great results, I think the underlying story is just everybody doing the small things and just pushing on the rock in their respective manners. And I think Dagger Lake South is really the prime example of all the culmination of those things. You look at -- from an operational perspective, we had talked about our pilot test for our first trimul-frac completion process. And Dagger Lake South was a perfect example of that to where we had a six-well pad that yielded about a $350,000 savings per well. But once again, that really could not have been done without the teamwork and the groups of the production team, the facilities team working with recycled water, the operations team planning with the land group for right-of-way and surface use agreements. A lot of things that had to come together to yield that $350,000 savings per well. And on top of that, the added benefit of getting accelerated production just to reduce the days on well, the simul-frac and trimul-frac efficiencies that those pull forward. You're doing trimul-frac, it yields about a 50% reduction in completion time on well. And so I think the end result being we have wells online faster, but I think we don't want to forget or understate the teamwork that goes into the results of those processes.
Operator: Thank you. Our next question comes from the line of Scott Hanold of RBC Capital Markets.
Scott Hanold: Thanks. Good morning. Obviously, you've had some pretty good success with both -- well, with the two large pads you did with the Advance acquisition, the Margarita and the Dagger Lake. Just kind of curious if you can give us some color on -- really, it's a two-part question here. One, the path forward on that set of assets. But number two, do you like that cube development strategy? Is that something that you think you could apply to a larger portion of your acreage position?
Tom Elsener: Hey, Scott. Good morning. This is Tom Elsener. Thank you for the question. Obviously, we're very proud of the Dagger Lake South and the Margarita properties. The results have been excellent and have exceeded all of our expectations. We expect to drill another dozen or so wells on the Advance properties in the back half of this year. We'll have a couple of rigs heading out there in the third quarter to drill some really nice 2.5-mile-long laterals. We definitely like that these -- getting these wells drilled kind of all at the same time. But we were working very closely with our midstream team and with Glenn Stetson. As Chris mentioned, all the teamwork and coordination to get these wells online. These are very prolific targets, and we definitely have to give my hats off to Ned Frost and the geoscience team for identifying targets like Third Bone Spring carbonate that would definitely be part of this next batch of development. This is something that -- we've transferred this knowledge between the different groups,, and we expect to drill these wells all throughout the Advance properties. Those wells that I mentioned will most likely be online in the first half of 2025. So more to come on exactly how those do, but again, we expect very consistent results with the strong oil cuts in the mid-80s and low water-to-oil ratios. And we've seen the great IPs on the Dagger Lake South, and we expect to see the same type of results on this next batch of wells.
Glenn Stetson: yeah. Hey, Scott. This is Glenn. I just want to kind of pile on to what Tom said. And when we think about cube development, Dagger Lake South was -- is a pretty good example of having to consider all the different factors when we're going into it and, again, that careful coordination and planning. When we purchased the Advance assets a year ago, we immediately put plans into place with Pronto to go out and build the connector from the Pronto system down to the Dagger Lake South properties and then the connector that goes from Pronto over to San Mateo. And really, the value of all that was exemplified this quarter as we turned on those 21 wells, and we were making around 30 million cubic feet a day of gross gas. All that gas went to the Marlan plant. And there were days where we were exceeding the capacity of that plant, and we utilized the connector to send those volumes to San Mateo. All that resulted in days that were close to San Mateo and Pronto processing close to 0.5 Bcf a day of gas. And so -- and not to be ignored is that we were also making thousands of barrels of oil a day, close to 20,000 barrels of oil and 70,000 barrels of water. And so these are things, when you're developing on a queue basis, that need to be planned out meticulously. And I think that our team has done a fantastic job with the careful coordination between all the groups to be able to execute on a project of that scale.
Operator: Thank you.
Joseph Foran: I just -- this is Joe. I'd just like to add to that. Our midstream business has really enabled -- because they were there ready to go when the wells were ready to go, and they made it work even though they were approaching the nameplate capacity and get all that oil, gas, and water properly sold and disposed of. And I give a lot of credit to them, Justin and others, processing. Justin, you want to say what you all were doing during that period?
Justin Hosp: Yes, sir. Senior Vice President of Operations, Midstream, Justin. So as Glenn said, we are filling up Marlan. And for last 45 days or so, we've consistently exceeded the nameplate of that facility -- so we're very excited about that -- and then utilized the connector line to swing the gas over to the Black River as well. And so we look forward to the rest of the year in the development plans and approaching nameplate on both of those facilities and then also setting water gathering records on the San Mateo side as well as we've turned a number -- a record number of wells to in line this quarter.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Zach Parham of JPM.
Zach Parham: Thanks for taking my question. You took down your D&C-per-foot guidance to $960 per foot at the midpoint. That's down about 5% versus the prior guidance and over 10% year over year. Can you just talk about the drivers of that decline in D&C cost? What's the split of cost deflation versus efficiency gains?
Christopher Calvert: Yeah. Hi, Zach. This is Chris Calvert again. I'll take that. Thank you for noticing. Obviously, we're extremely proud of that revision down in the second half of the year down to the $960 number that we're talking through. As far as the drivers behind that, I think it's still the story that we've spoken to in the last few quarters. It's sustainable efficiencies and improved processes. As we look at simul-frac, trimul-frac, spending less days drilling on wells, U-Turn savings, things of that like, we are focused on sustainable process improvements that we can carry forward regardless of OFS pricing environments. Now moving into the second half of this year, we do feel like we are in a more competitive OFS market. There have been some services that have become a little bit more competitive from a pricing standpoint. However, a lot of the drivers that push that are efficiencies and win-win situations that we have between ourselves and our vendors. You look at something like simul-frac and trimul-frac. This is truly a win-win for us and our service providers, whether it's Halliburton or Patterson vis-a-vis next year, to where when we're able to go out with simul-frac or trimul-frac wells, we are getting 12, 18 stages per day. And so that's really a win-win for both providers. And that just continues that efficiency story for both us and our service providers. U-Turns are the same story, where we're spending less time drilling these wells. The third U-Turn well that we drilled, we drilled it in about 50% of the time as the average of our first two. And so you look at drivers that are really pushing these costs down. And while we are, what we believe, in a deflationary OFS market in the second half of this year, the majority of it is driven by efficiencies and those efficiencies that are pulled forward by the operations team. Once again, those really couldn't be possible without the work of the land teams, the geology team of identifying different subsurface targets. And so it's really -- we get to tell the good story of the D&C cost per foot going, but it really isn't possible without the work of everybody else that's pushing on the process.
Joseph Foran: Chris, that's a good answer. There are two things I want to emphasize is your MAXCOM room is helping when you talk about efficiencies. A lot of what that is is saving time on the wells, saving days on well. Every time you save a day, you save money. They've enabled a lot of that and set -- help you set your 300 drilling records. And the second part of that teamwork is that, again, the midstream is there to ensure flow assurance; and that when you're ready to go online, they're ready to go online; and working between Patterson and the other vendors we have. Next year, as you mentioned, as more we work with them, there's a joint -- we're not trying to beat them down on price. We are looking for ways to save time and make more effective whatever work that they're doing. And so there's real collaboration, which we hope to keep expanding.
Christopher Calvert: Yeah. I think that's perfect color. I think if you -- Zach, if you refer to slide 9, we talked to our -- excuse me, slide 8, we talked to the MAXCOM, the benefits of MAXCOM and the inception since that well was kicked off in 2018, the drilling records that have come from that room. But not only that, improve targeting which ultimately yields better productivity, better well recoveries, improved processes that reduce days on well from the MAXCOM room. And not only that, just as a training tool to where when we have young engineers and geologists that are coming to the company potentially out of college, they're working side by side, seven days on, seven days off, working through well planning, working through steering to make these wells -- to target these wells better and ultimately lead to better recoveries. And then after a year or two years, those asset -- excuse me, those geologists and engineers join asset teams. And so they have built in camaraderie of working side by side for a year or two 2 years. It just continues to improve the efficiencies and the communications between these teams.
Operator: Our next question comes from the line of Neal Dingmann of Truist.
Neal Dingmann: Morning, Joe and Team. How you doing?
Joseph Foran: Hey, Neal.
Neal Dingmann: Joe, quick important one. You didn't mention if we come up there to see you all if you'll be paying for breakfast. I wanted to get that out of the way first.
Joseph Foran: Say that again, please.
Neal Dingmann: I just want to make sure you'll be paying for breakfast when we come up to visit you. I thought that would be an important one to get out of the way first.
Joseph Foran: That depends on how many questions you ask.
Neal Dingmann: Joe, my question is around the midstream position. Now that you've had Piñon and you've got the San Mateo part of Advance, I would love to hear you guys' take as far as how much more build-out do you all think you need in the area now that you've added Piñon. Does that complete the full takeaway position in that area?
Joseph Foran: No, I don't think so. We're going to be open to whatever makes sense or makes money and that enhances the system we already have. I mean, I don't think we'll put a lone pipeline up in Chaves County or something that we don't have anything near. It will be expect to be near our properties and where we can fold that in to make this system where -- like these connectors give you more options, and the ability to offload from one plant to another just makes us that much more effective. We're going to be careful on what we do. And Gregg Krug has done, I think, a magnificent job. If you remember, Neal, back when we were going public, we were asked on the road show all the time, are we having any takeaway problems? And that was primarily in the Eagle Ford at the time. But everywhere we went, we got asked that question. So it meant that others were having that problem. And we said, what do we -- we're not at dinner. We said, what are we going to do about that? It seems like others are having problems. And the suggestion was made we go talk to Gregg again, who's been a friend for a long time, and see if we can get him to come over and run that part of the show for us. And he did, and he's put together a great group not just in the midstream business, but also in measurement; and run the 24/7 measurement room; and helped out with the audit team of various accounts and finding lost barrels. Big contributor in many respects. And through him -- he's been the strategic guy that says -- he'd recommend this and that, and it comes before, again, the executive team and then possibly the Board, depending on size. And that's put us in a position like -- just like Chris saves days on wells with drilling, we save days not having to wait for the midstream connection. So I think we're very open. And following the drill bit, where if we open a new area to drill and the like, and we look at the pipeline situation, and we think we can enhance that area, we'll go and do it. We don't have any limits and say that's all you're ever going to get, Gregg. He knows that he's put together a great team. And where we're drilling, we expect to have a midstream presence. I hope I said that right, Gregg. Is that --
Gregg Krug: Yeah. Thanks, Joe. Yeah, I -- in order to keep up with the drill bit, I mean, we're going to have to continue to grow our midstream presence out there. It's continually growing with good growth every year, and we're going to have to keep up in order to a adequate and flow assurance takeaway. And so that's the primary goal is to always stay on top of that -- stay in front of it, actually. And -- so that's what we're going to be focusing on, is continually looking at opportunities.
Joseph Foran: Well, I have one other thing. Our third-party participants has really continued to grow. And so that's made it more likely, with their drill -- it's not just our drill bit. But with their drill bit, we want to be sure we're servicing them properly.
Gregg Krug: Well, absolutely. And that's one thing we try to emphasize to third parties as well, is that we're going to be there for them as well. Because we have a producer mentality when it comes to -- shutting off production and curtailing production is just not an option for us. That's not what we do. We want to stay in front of this. We want to -- and with that, that is the benefit as far as to the third party as well, is that they'll get the benefit of that type of mentality.
Glenn Stetson: Yeah. Neal, it's Glenn Stetson, and I would just continue to pile on for what Joe and Gregg said and say two things. One is we're continuing to be focused on building this new 200-million-cubic-feet-a-day cryogenic gas processing facility at the Marlan plant. That project remains on time and on budget and looking forward to, the first half of next year, getting that plant online. And do commend the teams of the efforts thus far in the year. They've built over 50 miles of pipe and compressor stations to accommodate the production from a lot of these new wells that were turned on this last quarter. And then also, you mentioned Piñon. I just wanted to -- not to be overlooked. We highlighted in the release that Ameredev themselves have approximately 135 miles of pipeline of infield gathering that they have built themselves, which was a similar philosophy to Matador in controlling a lot of that gathering and processing. So they -- that 135 miles is crude, water, and gas gathering and high-pressure gas pipelines for gas lift. So I think it just further exemplifies the strategic nature of the midstream business. And Ameredev has a good chunk of it too.
Gregg Krug: Yeah, this is Gregg again. I do want to kind of pile on to what Joe mentioned as far as the measurement audit group that we have. That's something that some companies don't have, and that's something that we've taken very serious. And we've been able to find millions of dollars over the years that probably would have just been unnoticed and lost because we audit all of our systems. We do balance checks every month, and we just don't let anything get by us. And I think we've got a reputation throughout the industry that always stayed on top of our business when it comes to measurement. So I take a lot of pride in that.
Operator: Our next question comes from the line of Leo Mariani of Roth.
Leo Mariani: Hey, guys. I was hoping to dive into Ameredev a little bit more here. Can you give us maybe an update on where of current production is there on the asset? And I want to say that they are maybe running a rig. So I just wanted to confirm here that the ninth rig that you're bringing on might be a replacement rig for the rig they're running once the deal closes? Just wanted to kind of get a sense of how you're approaching that asset. I assume you're going to continue to drill on it post close. I know you've replaced some rigs in other properties in the past. So any color on that would be great.
Brian Willey: Yeah, Leo. Hey. This is Brian Willey. Happy to take that one to start, and then I'll pass it on. I just really appreciate the question. The Ameredev folks have just been very professional and great to work with. It's the same team that we worked with when we did the Advance acquisition. And so they ran the rig before we acquired Advance and just did a fantastic job. And we are really excited that they continue to do a good job here with Ameredev as they go forward. And they're running that rig right now. We're doing a good job as a team. We're coordinating with that. Of course, they're in control of it. And they make the decisions here, but we'll move forward towards closing subject to the regulatory approval, as mentioned earlier. And so -- but they do just a fantastic job. Our teams are coordinating with theirs. I know that we had a group of our folks down in Austin and working with them very closely. I'm just getting ready as we do the due diligence and move forward on the transaction. So very excited about the acreage. It really starts with the rock, and this is a fantastic rock. And maybe I'll pass it over to Tom to talk a little bit more about the rock and then about what Ameredev is doing.
Tom Elsener: Sure. Thanks, Brian. This is Tom Elsener again. Yeah, Leo, that's a good question. We're clearly very excited about the Ameredev properties and acquisitions. And again, we're in an observation role, and they're clearly doing a very nice job, as Brian mentioned. We expect the same performance. And they're not letting -- they're doing a great job down there. They are running one rig, as was noted. They also, at the time of the announcement, had 13 drilled but uncompleted laterals. They're in the process of getting those -- there's kind of two groups that are in the process, getting the first half of those finished out and brought online. As we noted in the prior release, the estimated production for the third quarter is approximately 25,000 BOE per day at a good 65% oil cut. We're excited to get to work on these properties. They have over 200 federal permits, and we're very excited to get to work out there. I think that the ninth rig will be ready to put to work as soon as we can, and we'll be drilling some very nice Wolfbone wells and some Bone Spring targets as well. As we noted, we had 431 gross, 371 net, locations that we're very excited to put to work and get to work with -- working with our midstream group and working with Piñon. And so we just can't wait to get that going. We look forward to talking about that more once we close the deal. It's expected to happen late in the third quarter, and then we'll give you an update from then.
Operator: Our next question comes from the line of John Freeman of Raymond James.
John Freeman: Hi, guys. The topic I wanted to follow up on was just some of what Chris was talking about earlier on just the reduced days on well cycle term improvement. I'm just trying to reconcile maybe the updated guidance with the ninth rig. So it looks like you are saying you get an incremental four gross operated wells with the addition of that ninth rig. And in 2Q alone, you were able to bring online four more gross operated wells that you all had planned on. So I'm just trying to understand how much of those incremental wells in 2Q was due to what you were talking about earlier, Chris, just cycle time improvements versus just maybe a timing sort of an issue, and how to think about maybe that full-year guide if it necessarily might have an upward bias of these cycle times continue?
Brian Willey: Yeah, John, this is Brian. Well, I'll pass it to Chris in a minute. But just -- thanks for the question. I think it's a fantastic question. And we're excited to be able to talk about efficiencies. Chris always likes that. And looking to Q2, you're right. We brought on four additional gross wells than we had expected. That's part of the beat that we had. And as we go forward, we do think that additional rig, that ninth rig, will add about four wells. And so not much production in the year just because those levels will be turned online late in December, but we are excited about that rig. And Chris can talk a little bit more about the ninth rig and some of the efficiencies that it will produce for us.
Christopher Calvert: Hey, John. Chris Calvert. Good question. The efficiencies and spending less time on wells is -- like I said, it's a story that we've been talking through for many quarters now. And so when we look at quarterly timing, there is always a lot of push/pull with wells when they're coming on, especially if they straddle the quarter. But the ninth rig specifically, like Tom had mentioned, we're excited to be able to use that to do the Ameredev integration once that closes. But looking at really the efficiencies, I think one of the things that I would truly point to is the increased utilization of trimul-frac. We did our first pilot test of trimul-frac with the six Dagger Lake South Wells. We're actually on our second test of trimul-frac right now, and we've potentially identified a third trimul-frac, which will be a remote trimul-frac potentially later this quarter. And so I think those will be efficiencies that are really pushing or, I guess, reducing those cycle times. And so we've factored in savings from simul-frac, reduced drilling days from simul-frac. But the incremental that we're seeing from trimul-frac is something that really we really didn't guide to at the beginning of the year. And so you look at the reduction in days on well, whether it's on the drilling side or completion side, it does. It stems back to just improved processes, getting upgraded better equipment from Patterson. When we look at the ability to drill longer laterals, upsized pumps, high-torque top drives, increased setback ability that allows us to push lateral lengths north of 2/2.5 miles, improved cycle times with U-Turn wells as I have said before. But it's these partnerships with our vendors that have allowed us to get the better equipment, which that ninth rig is definitely one of. And so that really all comes together with these reduced cycle times. And so it's hard to put a -- these four wells are quick to this efficiency, but it's something that we're just continually looking at and pushing throughout the program looking forward.
Operator: Our next question comes from the line of Phillips Johnston of Capital One Securities.
Phillips Johnston: Hey, guys. Thank you. Just a follow-up on Leo's question regarding the Ameredev properties. I realize the production is still on track in 25,000 to 26,000 a day for Q3. But as we think out to Q4, just given the uncompleted laterals, would you expect the Ameredev stand-alone volumes to be directionally flat versus the third quarter or would you expect a little bit of growth there?
Tom Elsener: Hey, Phil. This is Tom Elsener. I think we would look forward to commenting more on that, again, after the deal closes. There are two groups of drilled but uncompleted laterals. The first group going on now and the second is a little bit more uncertain as to the exact timing. And I think it'd probably just be more appropriate for us to comment on that once we close.
Operator: Our next question comes from the line of Kevin MacCurdy of Pickering Energy Partners.
Kevin MacCurdy: Hey. Good morning, and thank you for taking my question. This year, your legacy program will be about 8.5 rigs with really just the eight rigs contributing to production in 2024. And that resulted in pretty material growth throughout the year. Obviously, when you get the Ameredev volumes, then your maintenance production levels will increase. Without asking for too much detail in 2025, do you think that a nine-rig program is sufficient to hold those volumes flat or even grow a little bit?
Joseph Foran: This is Joe, and I'm going to, I guess, kick it off and then ask Tom and Chris and Brian to comment. But this is where that days on wells become important. It's that if you can reduce the days on well, your existing rig fleet can drill back many more wells. So we hope that the rigs will become more efficient. And as Chris pointed out, they're coming with new equipment, new techniques, that also should reduce days on well. So that's an important factor as we plan out 2025, how many rigs we need and how many wells we're going to drill by how effective are they going to be. So these next two quarters are going to help us understand that better, and we'll go from there. We've never been a company that's just grown for growth's sake. But it's part of a plan and a team game as where does this situate us so that our capital spend is -- it goes to the right sources. Some years, we could have grown if we didn't put some into the midstream. But look where we'd be if we didn't have the midstream today, how vulnerable we'd be to a lot of situations? And we wouldn't have the flow assurance, and we wouldn't necessarily have a quick hook ups or the water disposal capacity and the like. So that was a deal where we were planning for the long term, diverting some CapEx we could've spend on drilling rigs for a midstream business. And we think that was the right thing. And as far as drilling, we expect to -- we fully challenge our teams to come up with a growth strategy. But at the same time, we want to keep our flexibility when an opportunity like Ameredev or Advance comes up because a lot of people don't or won't sell their good rock. Their best rock, they keep for themselves. So when you had opportunities like them come up where you had a chance at acquiring really quality rock, we wanted to be sure we did that. So we've done the slow but careful steps with our rig count this year to where we could grow the rig count or lessen it depending on things. Fortunately, we were ready when Ameredev came up, and we paid down our line of credit. Like our RBL -- our current RBL has paid off completely. We have zero borrowing on it. And so we have that line of credit to go towards Ameredev or building out some of the midstream, and that's been helpful. So a lot of our strategy, to be direct, is we try to build in as many options as we can each year because each year is a surprise on -- there are some surprises occur every year, and we just want that flexibility for financially as well as having the right equipment and the right people. So it's a balancing act through that, and our teams have done a, I think, a really good job making adjustments as things go along. I mean, you couldn't predict COVID, and that happened. Not that I hope we get another situation like that, but you just try to prepare for all the contingencies and keep your flexibility and options open. I know that may sound like platitudes, but we tried -- we try to maintain that flexibility, and we found that's been a good strategy over 40 years. As you know, we started out with 270,000 in 1983. We didn't have many options in. Each year, we try to get better on that; and the teams have done a real good job ready to pivot as those circumstances change. So I'll ask my Chief Financial Officer, Brian, to say that -- hope that coincides with what he's planning.
Brian Willey: Yes, sir, Joe. That's -- I fully agree. I think this is a -- we often talk about it being a people and a relationship business and maybe two things I would just note. On the relationship side with the banks, we talked about Ameredev a few times today. And just wanted to thank our banks and the great support that they have been. We visited each one of the 19 banks in their offices earlier this year, and we were able to develop those relationships. And those have proved very fruitful now as they've been supportive of the Ameredev acquisition. And then the relationships and the people that our employed. It really starts with our employees. And we have a great intern program this summer. I think 30 interns, they've been fantastic. We just keep getting better and bringing them in and -- best and the brightest. And I look at our employee stock purchase plan. That's an opportunity where our employees can buy shares in the company. And normally, in employee stock purchase plan, a good participation rate is probably 50%, 60%. I think in our last period we have where people can participate, we actually had 95% participation, which is almost unheard of. And so it really just shows that we're all rowing the same direction. Everybody is working together. And it really just comes down to the people and the teams. So it's a great business. It's a fun business to be in.
Joseph Foran: One other thing I want to add to show the importance and the integral nature of our midstream, we've added to our Board Susan Ward who was the -- was at Shell for many years and was their Chief Financial Officer when Shell Pipeline went public. So that gives us another pair of eyes. Are headed in the right direction? And we're using it to its best advantage. And Gregg and his team have put together just a great group. And I know that the results that we have and what the midstream has done and also built out relationships with a real blue-chip list of companies that are our third-party partners. And it's just as important that we treat them right as any of our teams on their deals. So there's still a lot of wood for us to chop there, but I think that attention is making us a better company.
Operator: Thank you, ladies and gentlemen. This ends the Q&A portion of this morning's conference call. I'd like to turn the call over to management for closing remarks.
Joseph Foran: Well, thank you very much, and thank you for the participation. And now that I've had some time to think about Truist's comment about breakfast, I just want to assure everybody that if you come have breakfast with us, you will not have to pay. We'll be happy to buy that breakfast. And the last thing I do want to close on because it didn't quite get the attention, the team's working have turned out an amazing amount of work. And, Ned, I want you to talk about -- when we came out here, we had three zones that we were after and where have we gone from there.
Edmund Frost: Sure, Joe. Thank you. This is Ned Frost, EVP of Geosciences. And Joe is referring to when we started out in the Delaware Basin, we had three discrete zones that we targeted, the Second Bone Spring, the Wolfcamp A-XY, and the Wolfcamp B. And today, we are producing out of 11 different zones with 25 discrete target intervals that we can map regionally around the basin. So to do this, it's like so many other parts of Matador. It requires all the teams working together. A lot of people have their hands on that, from reservoir engineers to land, to drilling and operations from being able to complete these wells. So we -- we're really proud of how we've advanced the ball over the years, and we're very confident that there's a lot more to come. So we appreciate your support, and we'll continue to do what we do.
Joseph Foran: All right. With that, I'm through. But thank you all for listening in and your time. We really appreciate it. We know it's valuable, and appreciate the relationship.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes today's program. You may now disconnect.